Operator: Hello ladies and gentlemen and welcome to participate in IT Tech Packaging's Fourth Quarter and Fiscal Year 2020 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are Mr. Zhenyong Liu, IT Tech Packaging's Chairman and Chief Executive Officer; and Ms. Jing Hao, the company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its fourth quarter and fiscal year 2020 financial results via press release yesterday which can be found on the company's website at www.itpackaging.cn. First, Mr. Liu will brief you on the company's key operational highlights over the fourth quarter and fiscal year 2020 and then Ms. Hao will review the company's financial results. Before we start, I would like to draw your attention to our Safe Harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts in its announcement are forward-looking statements, including but not limited to, anticipated revenues from the corrugating medium paper, tissue paper, offset printing paper, and face masks business segments; the actions and initiatives of current and potential competitors; the company's ability to introduce new products; the company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management personnel and research and development staff; and other risks detailed in the company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates, and projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that this expectation will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks and it is now available for download from the company's website at www.itpackaging.cn. Please note that there will be discussions on non-GAAP financial measures or EBITDA or earnings before interest, taxes, depreciation, and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in US dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. I would now like to turn the call over to Ms. Liu -- Mr. Liu. His comments will be delivered in English by Dahong Zhou from EverGreen Investor Relations. Ms. Zhou, please go ahead.
Zhenyong Liu: Thank you, operator and good morning everyone. Thanks for joining our fourth quarter and fiscal year 2020 earnings conference call. During the fourth quarter, we continued to make improvements in the sales volume of tissue paper products and posted a slight decrease in sales of CMP products for this quarter. Our total revenue had a slight decline of 3.4% to $32.5 million, but we managed to grow sales from tissue paper products by 51.3% to a total volume of 3,165 tons for this quarter. The average selling prices of our products for this quarter increased by 5.6% from the third quarter 2020 or a minor growth compared to the same period last year. We took a quick recovery from the impact caused by global outbreak of COVID-19 pandemics both in growing revenues from sales of tissue paper, regular and light-weight CMP products. Our production and sales of tissue paper products have been growing up steadily since the launch of PM8 and PM9 in December 2018 and November 2019. Currently we are in the process to apply for surgical face mask production license, which we expect to boost both our sales and margins in the very near future. Though on-site inspection on our production facilities by the authorities was delayed but the pandemic. We're expecting final review results by local Food and Drug Administration in Hebei province, we anticipate to obtain the license once the relevant review works are finished. Now I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the fourth quarter financial results. Her comments will be delivered in English by my colleague Janice Wang. Janice please go ahead.
Jing Hao: Thanks and thanks everyone for being on the call. Next on behalf of the management team I will summarize some key financial results for the fourth quarter 2020. Also I will occasionally refer to specific production lines associated with various products. I will make clear which products I'm referring to. For reference the numbering system for our production lines provided on Slide number 18. Now let's look at our financial performance for the fourth quarter of 2020. Please turn to Slide number 7. For the fourth quarter of 2020, total revenue decreased 3.4% to $32.5 million due to the decrease in sales volume of CMP and offset printing paper. Turning to Slide 8. For the fourth quarter of 2020, the CMP segment including both regular CMP and light-weight CMP generated revenue of $24.9 million, representing 76.7% of total revenue. $19.7 million of revenue was from our regular CMP products and $5.2 million was from light-weight CMP. CMP segment volume slightly decreased by 3.4% to 57,627 tonnes, of which 45,210 tonnes were regular CMP and 12,417 tonnes were light-weight CMP. Average selling price or ASP for regular CMP increased by 4.3% to $435 per tonne and ASP for light-weight CMP were equal to $422 per tonne. Turning to Slide 9. For the fourth quarter of 2020, the offset printing paper generated revenue of $4.9 million, decreased by $2.3 million or 31.9% from the same period last year. The offset printing paper volume decreased by 24.4% to 7,895 tonnes. ASP for offset premium paper decreased by 9.8% to $618 per tonne. Turning to Slide 10. Tissue paper products generated revenue of $2.6 million, increased by $0.9 million or 51.3%. This resulted from sales of 3,165 tonnes tissue paper products with a 51.3% increase. An ASP of $837 per tonne with an increase of 22.4%. Turning to Slide 11. We sold 445,000 pieces of face masks and generated revenue of $1.14 million [ph] from selling face masks for the fourth quarter 2020. Slide number 12 summarizes the changes in our revenue mix. For the fourth quarter of 2020, total cost of sales increased by $3.7 million to $31.7 million leading to total gross profit of $0.7 million as compared to the gross profit of $5.6 million for the same period last year and overall gross margin of 2.3% for the fourth quarter of 2020. For the fourth quarter of 2020, SG&A expenses increased by 14.6% to $2.7 million and a loss from operations were $2 million compared to income from operations of $3.2 million for the same period last year. Operating margin was negative 6.1% compared to operating margin of 9.5% for the same period last year. For the fourth quarter of 2020, net loss was $2.7 million resulting in a net loss of $0.06 per basic and diluted share. This compared to a net income of $2.2 million or net income of $0.10 per basic and diluted share for same period last year. For the fourth quarter of 2020, earnings before interest, taxes, deprecation and amortization decreased by $5.4 million to $1.6 million from $7 million for same period last year. Now shifting gears to year-to-date financial results. For the fiscal year 2020, total revenue decreased 14.2% to $100.9 million as a result of decrease in sales volume of regular CMP offset printing paper combined with decrease in ASPs of all paper products categories. For fiscal year 2020, the CMP segment including both regular and the light-weight CMP generated revenue of $79.2 million, representing 78.4% of total revenue. $62.3 million in revenue was from our regular CMP product and $16.8 million was from light weight CMP. Volume for the CMP segment decreased by 8.1% to 196,885 tonnes, of which 154,084 tonnes were regular CMP and 42,801 tonnes were light weight CMP. ASP for regular CMP decreased by 5.2% to $404 per tonne, while ASP for light-weight CMP decreased by 5.1% to $393 per tonne. For the fiscal year 2020, our offset printing paper segment generated revenue of $12.3 million. We shipped 20,358 tonnes of offset printing paper for the fiscal year 2020, a decrease of 30.3% for the same period last year. ASP for offset printing paper decreased by 13.9% to $603 per tonne. For fiscal year 2020, tissue paper products generated revenue of $8.4 million increased by $2.1 million or 32.5%, which resulted from sales of 10,088 tonnes tissue paper product with 48.6% increase and ASP of $834 per tonne with a decrease of 10.8%. For fiscal year 2020, face masks generated revenue of $1.1 million with sales volume of 10.3 million pieces of face masks. For fiscal year 2020, total cost of sales decreased by $8.7 to $95.2 million leading to total gross profit of $5.7 million and a decrease of 58.3% from last year. Our total gross margin of 5.6% reflects a decrease of six percentage points from last year. For fiscal year 2020, SG&A expected were $11.2 million compared to $9.8 million for the same period of last year. For the fiscal year 2020, income from operations decreased from $3.9 million to negative $5.5 million. Operating loss margin was 5.4% compared to operating margin of 3.3% for the same period last year. For fiscal year 2020, net loss was $5.6 million a $0.21 loss per basic and diluted share, compared to net income of $2.2 million, earnings of $0.10 per basic and diluted each share for the same period last year. For fiscal year 2020, earnings before interest taxes depreciation and amortization decreased from $19.3 million to $10.2 million for the same period last year. Moving to slide 25 and 26, let's look at balance sheet and liquidity. As of December 31 of 2020, the company had cash and bank balances, short-term debt, including bank loans, current portion of long-term loans from credit union and related party loans and long-term debt, including loans from credit union of $4.1 million, $12.2 million and $4.6 million respectively compared to $5.8 million, $8.3 million and $7.4 million respectively at the end of in 2019. Net accounts receivable were $2.4 million as of December 31, 2020, compared to $3.1 million as of December 31, 2019. Net inventory were $1.2 million as of December 31 2020 compared to $1.6 million at the end of 2019. As of December 31, 2020, company had current assets of $14.9 million and current liabilities of $18.3 million resulting in a working capital deficit of $3.4 million. This was compared to current assets of $24 million and the current liabilities of $16.8 million, resulting in a working capital of $7.2 million at the end of 2019. Net cash provided by operating activities was $16.1 million for the year ended December 31, 2020, compared to net cash provided by operating activities of $7.5 million for 2019. Net cash used in investing activities was $20.5 million for the year ended December 31, 2020, compared to $7.9 million for 2019. Net cash provided by financing activities was $2.1 million for the year ended December 31, 2020, compared to net cash used in financing activities of $5.8 million for 2019.
A - Janice Wang: The company plans to invest the new capital raised from the market into, number one, biomass cogeneration project; number two, PM10 production line for tissue paper; and number three, we plan to use partial discount to pay the consideration to complete the acquisition of the Dongfang Paper, which was announced previously.
Janice Wang: Now, if you have any questions, please contact us through e-mail at ir@itpackaging.cn. Management will respond to your questions through the e-mails as soon as possible. Operator?
Operator: Thank you for attending IT Tech Packaging's fourth quarter and fiscal year 2020 earnings conference call. This concludes our call today and we thank you all for listening in. Goodbye.